Operator: Thank you for your continued patience. Your meeting will begin shortly. If you need assistance at any time, please press 0, and a member of our team will be happy to help you. Hello, and welcome, everyone, to today's Corpay Fourth Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question and answer session. To register to ask a question at any time, please press 1. Please note this call is being recorded. We are standing by if you should need any assistance. It is now my pleasure to turn the meeting over to Jim Eglseder, Investor Relations. Please go ahead.
Jim Eglseder: Good afternoon. Thank you for joining us today for our earnings call to discuss the fourth quarter and full year 2025 results. With me today are Ronald F. Clarke, our Chairman and CEO, and Peter Walker, our CFO. Our earnings release and supplemental materials for the quarter are available on the Investor Relations section of our website. Please refer to these materials for an explanation of the non-GAAP financial metrics discussed on this call along with the reconciliation of those measures to the nearest applicable GAAP measures. Our remarks today will also include forward-looking statements about expected operating and financial results, strategic initiatives, acquisitions and synergies, and divestitures, among other matters. Forward-looking statements may differ materially from actual results and are subject to a number of risks and uncertainties. Some of those risks are mentioned in today's press release and on Form 8-Ks, and can also be found in our annual report on Form 10-Ks. These documents are available on our website and at sec.gov. So now I'll turn the call over to Ronald F. Clarke, our Chairman and CEO. Ron?
Ronald F. Clarke: Okay, Jim. Thanks. Good afternoon, everyone, and thanks for joining today's call. Upfront here, I plan to cover three subjects along with highlights for 2025. First, provide my take on Q4. Second, I'll share our 2026 guidance. And then lastly, I'll outline our major priorities for 2026. Okay. Let me begin with our Q4 results. We reported revenue of $1.248 billion, up 21%, and cash EPS of $6.04, up 13%. That would be up 20% at a constant tax rate. The results were better than our expectations, mostly driven by cross-border and Alpha overperformance. We did call the macro spot on, so impact versus our guide. In the quarter, overall revenue growth was 11%, marking three consecutive quarters. Inside of that, our 10% and our 16%. So our two biggest businesses are doing quite well against pretty difficult comps. Importantly, our trends in the quarter were also quite positive. New sales, or bookings, were up 29% versus the prior year. So super robust sales. Same-store sales inched into the territory, up 1%. And overall, revenue retention was stable at 92%. Cash EBITDA in Q4 surpassed $700 million in the quarter. So look, all of this produced a record cash EPS print of over $6 a share. So really a terrific quarter for us. Let me make the turn to highlights for the full year 2025. So first, our financial performance for the year was quite good. Full year revenue of $4.5 billion, that's up 14%. Cash EPS of $21.38, up 12%, or again up 17% at a constant tax rate. Organic revenue growth for the full year was 10%. So that makes four of the last five years 10% organic revenue growth or higher. Full year sales growth was also 29%, with improving productivity. So we're continuing to sell a lot. Additionally, in the year, we made a number of moves to better position the company for the midterm. We acquired Alpha, the second largest acquisition in the company's history, giving us access to an international bank account product as well as the asset management market segment. Mastercard invested $300 million in our cross-border business at a $13 billion valuation, hopefully unlocking and serving the FI channel. We invested in Avid, which deepens our position in the middle market AP automation and payment space. And lastly, we acquired a second vehicle debt company in Brazil that'll further help accelerate Brazil's non-toll revenue growth. So look, financial performance ahead of our initial 2025 guide, along with a further rotation of our portfolio towards corporate payments. So quite pleased. Okay. Let me transition to our 2026 guidance. We are quite excited about it. So we're providing full year 2026 guidance at the midpoint of print revenue, $5.265 billion, that's up over $700 million versus last year or up 16%. And we're writing cash EPS at the midpoint of $26, on the button. That it's up 22%. Look. The drivers behind this 2026 guide are a few things. So first, fundamentals. Look, the business is working. We had a record Q4 finish. And the corresponding exit rate was super good trends, you know, positive sales, healthy client base, same-store sales, stable retention trends, big sales year again in 2025. We get a lot of that benefit as it rolls into 2026. And we are expecting continued 10% organic revenue growth this year. A second driver is accretive acquisitions. So our Alpha acquisition is expected to contribute about $300 million of incremental revenue, and Alpha paired with Avid together should contribute approximately $1 of cash EPS to our 2026 outlook. That's based on our final plans now. And then third, macro, we are expecting the macro to be our friend, to be helpful here in 2026. Favorable FX rates, particularly so in the first half. Lower SOFR rates, and finally, a constant year-over-year tax rate expected. So look, lots of reasons for confidence in our 2026 guide. The guide, just for clarity, does not include the impact of expected divestitures, including the pay by phone, nor the impact of any material capital allocation actions beyond simply delevering. Okay, let me turn to our top five priorities for 2026, which really are pretty consistent with last year's priorities. So first up is our portfolio. The goal, again, is to further simplify the company resulting in fewer bigger businesses and accelerate our rotation of corporate payments. We've announced one vehicle payment divestiture. We have two additional divestitures that we're working on. And as always, we're continuing to work the acquisition pipeline for new corporate payment acquisition opportunities. Second priority, USA sales. We're continuing to work to improve U.S. sales, particularly of our vehicle payments and lodging solutions. We've done a few things. We've hired a new CMO who recently started. We've developed some new Corpay brand creative ads to raise awareness of the company. We're growing our Zoom sales teams here in 2026. Concurrently, we're also really rethinking entirely new ways to sell our U.S. vehicle payment solutions as we deemphasize digital sales. A third priority, in payables, a number of things. One, we're trying to add new enterprise accounts there, particularly after our success with our first elephant last year. We are selling payables now in the UK, seeing some initial traction. We are doubling down on the sales force in the UK. And lastly, lots of energy exploring new monetization options with our merchant base or our vendor base. Those things include instant payment options, debit card payments, and even eChecks to help accelerate revenue growth in the AP segment. Our fourth priority is cross-border. Super focused on our multicurrency account and our international bank account capabilities, particularly given the Alpha deal. We're furthering our stablecoin capabilities. And obviously working hard to implement synergies related to the Alpha acquisition. We are progressing the FI channel opportunity with Mastercard. We have logged our first joint sale, so kudos there. And building really a pretty meaningful pipeline. So, excited about that. So fifth and last, AI. Yes. We have gotten religion around AI. We're currently in pilot with conversational AI being added to a number of our client UIs. We're using AI agents to reduce live agent expense, particularly in our lodging business. And we're even using AI to speed our merchant matching process against our internal merchant database to help drive new payable sales with prospects. So, look, five key priorities here in 2026. Each is well defined. Each is being worked. The portfolio, USA sales, payables expansion, cross-border capabilities, and AI implementation. So a busy year for sure. So look, in conclusion today, a strong finish, record earnings in Q4, on the high side of our guide, again encouraging organic revenue, new sales, same-store sales, and retention trends. Our full year 2025 financial performance again, finishing ahead of our initial guide. We logged another 10% full year organic revenue growth year that makes again for the last five years, again, a repositioning active repositioning year. Further simplification of the company, and the addition of more corporate payment assets. In terms of '26, again, outlooking really a super strong 2026, EPS expected to be up over 20% driven by the favorable fundamentals. The accretive acquisitions, and even a favorable macro. And lastly, we have laid out a clear set of priorities to better position the company to continue to compound over the midterm. So with that, let me turn the call back over to Peter to provide some additional detail on the quarter, the year, and our '26 outlook. Peter?
Peter Walker: Thanks, Ron, and good afternoon, everyone. Let's start with highlights of the quarter and the year. Q4 revenue was $1.248 billion, overperforming the midpoint of our guidance driven by strong corporate payments performance. GAAP revenue grew 21% year over year driven by 11% organic revenue growth. Q4 adjusted EPS of $6.04 per share over the midpoint of our guidance and grew 13% year over year due to strong top-line performance and solid expense management. The headline for the quarter is overperformance, over 20% top-line and low teens bottom-line growth driven by our third consecutive quarter of delivering 11% organic revenue growth. We grew Q4 new sales 29% year over year and delivered a 92.3% retention rate fueling our business for 2026. Full year revenue was $4.528 billion delivering organic revenue growth of 10% for the full year and for four out of the last five years. Full year adjusted EPS was $21.38 growing 12%, but growing 17% at a constant tax rate. These strong year-over-year results are further reinforced by the healthy, consistent sequential quarterly growth in revenue, EBITDA, and adjusted EPS throughout 2025, which positions us well for 2026. We are exiting 2025 as an even stronger company than we entered the year. Now turning to our segment performance and the underlying drivers of our organic revenue growth. Corporate Payments delivered 16% organic growth for the quarter, 200 basis points drag from float revenue compression due to lower interest rates. This exceeded our expectations by 100 basis points, partially driven by Alpha revenue overperformance setting us up well for 2026. Overall, corporate payments performance was driven by growth in spend volumes, which increased 44% on a pro forma basis to over $81 billion in spend. Cross-border continued to deliver strong sales and revenue performance in Q4. This business is quite resilient with significant demand even in the face of trade-related uncertainty throughout the year. Additionally, the Alpha Group integration efforts are progressing well. The payables business continues to perform with especially strong sales performance in Q4. We're optimistic about the future of the business as we are in the early innings of market penetration and closed our strategic investment in Avid Exchange during the fourth quarter. We see tremendous upside over a very long period of time for this business. Vehicle Payments organic revenue growth was 10% again this quarter. As a reminder, we operate three approximately equal-sized vehicle payments businesses across the globe in the U.S., Europe, and Brazil. We saw continued strong results in all three geographies which drove the performance, improving U.S. Vehicle payments performance throughout the year is particularly encouraging. Lodging, representing less than 10% of our total revenue, decreased 7% year over year or was roughly flat for the quarter when adjusting for a 600 basis point drag from lower FEMA emergency revenue year over year. While clearly not recovering, progress continues and we are assuming low single-digit growth in our 2026 outlook, with headwinds in the first half of the year and returning to positive organic growth in the back half of the year as new sales and implementations come online. In summary, we delivered 11% organic growth in Q4, at the high end of our target range driven by continued strong corporate payments organic growth and double-digit vehicle payments organic growth. Now looking further down the income statement. Operating expenses of $684 million increased 25% primarily driven by a lower net gain on business dispositions year over year, acquisitions, divestitures, and related expenses and FX partially offset by a non-cash impairment charge in Q4 of last year. Excluding these impacts, operating expenses increased 8% driven by investments in sales and processing expenses related to higher transaction volumes. As we exited the quarter, we're starting to see benefit from expense rationalization initiatives recently that will deliver additional savings in 2026. Our adjusted EBITDA margin was 57.1%, our adjusted effective tax rate for the quarter was 25.8%. The increase in the rate was due to the favorable impact of employee stock options on the tax rate last year. On to the balance sheet, we ended the quarter in excellent shape with a leverage ratio of 2.8 times, spot on our guidance. We repurchased 1.7 million shares in the quarter for $500 million and a total of 2.6 million shares for the year. This leaves us with approximately $1.5 billion authorized for share repurchase inclusive of the $1 billion of additional authorization approved by the Board at the December meeting. We will continue to pursue M&A opportunities and we'll continue to buy back shares at this valuation, while maintaining leverage within our target range. Now, let me share some additional information on our 2026 full year and Q1 outlook. As Ron mentioned, as part of our continued rotation into corporate payments, we signed a definitive agreement to sell pay by phone, a non-core vehicle payments asset. The transaction is expected to close in 2026. The impact of this sale is not included in our guidance as we are sharing today as our policy is to update guidance for closed deals. Pay by phone is expected to produce 2026 annual revenues of approximately $100 million and the transaction is not expected to have a material impact on adjusted EPS, as we plan to use the proceeds to buy back shares. We'll provide more information when the deal is closed. Our 2026 revenue guidance is $5.265 billion at the midpoint of our range, growing 16% year over year. This assumes 10% organic revenue growth, also the midpoint of our range. 2026 organic revenue growth is lower than our 2025 exit rate of 11%, due to additional float headwinds more heavily weighted in 2026 in our corporate payments business. Our 2026 guidance for adjusted EPS is $26 per share at the midpoint, growing 22% year over year. Our confidence in our guidance is high, given most of the building blocks for this performance are already in place. This includes our strong organic growth exit rate and annualized Q4 trends, our expense rationalization initiatives which are already producing savings, and our Q4 share buybacks. $1 of accretion from the Avid and Alpha deals is achievable given our strong track record of M&A integration. The macro environment provides additional tailwinds, including a flat tax rate year over year. As a reminder, our revenue and adjusted EPS build throughout the year. You can see on Page 19 of the supplement, the percentage of full year revenue and EPS are lowest in Q1 and highest in Q4. This pattern is driven by our clients' highest business volumes occurring in Q2 and Q3, along with acquisition synergy realization increasing through the year, all over a relatively fixed cost basis. The consistent historical pattern gives us confidence in our ability to deliver our 2026 guidance. Below EBITDA, we're expecting net interest expense to be $370 million and $400 million, the adjusted tax rate to be between 25% to 27%, and weighted average shares to be flat with the period-end shares for Q25. Related to capital allocation, our forecast assumes free cash flow is used to pay down debt, which provides some potential upside opportunity should we deploy capital for buybacks or M&A. Our guidance does not include any share buybacks. From a segment perspective, we expect the following organic revenue growth rates: Corporate payments, mid-teens inclusive of the drag on float revenue from lower interest rates. Vehicle payments, high single digits. Lodging, low single digit. Our Q1 revenue guidance is $1.21 billion at the midpoint, growing 20% year over year. We expect Q1 organic revenue growth of 9% at the midpoint, lower than the full year 10% organic growth guide driven by the float headwind I mentioned earlier. We're expecting adjusted EPS of $5.45 at the midpoint, growing 21% year over year. We're planning organic revenue growth to increase in the remaining quarters as we digest the float headwinds. We provided additional detail regarding our full year and Q1 outlook in our press release and earnings supplement. Before I turn it over to the operator for Q&A, I'm delighted to share that we've remediated the outstanding material weakness related to user and you'll see this formally in our 10-K. I want to thank the team that made this happen. So operator, please open the line for questions.
Operator: Thank you. If you'd like to ask a question, press 1 on your keypad. To leave the queue at any time, press 2. We do ask that you please limit yourself to one question and one follow-up. Once again, that is 1 to ask a question. Our first question comes from Andrew Jeffrey with William Blair. Please go ahead. Your line is now open.
Andrew Jeffrey: Thank you. Appreciate you taking the question. Great to see the business momentum. Ron, I wanted to ask a little bit about the commentary around payables monetization. I know this is an area that you know, historically has been a little bit stubborn when it's come to you know, non-check based payments. I know you mentioned eCheck. But could you maybe dimensionalize that for us? Is it is that an initiative that could add to already impressive segment organic revenue growth? Or what's the timeline, do you think for driving better yield, from those initiatives?
Ronald F. Clarke: Hey, Andrew. It's a great question. I think, you know, we've been a one-trick pony to the industry in terms of using, you know, virtual cards for monetization. And so this, you know, set of options now and basically kind of eliminating paper checks is the game. The idea of getting that thing sunset and using, you know, eChecks, debit at lower interchange, you know, ACH plus instant payments, the whole plethora of things that we can do that research suggests that merchants like that choice and some set of merchants will accept these new methods of payment where they won't accept virtual cards. And so we're in the middle of it. We're laying that stuff out. We're doing the research. We're testing. And so I would say, sometime Q2, Q3, we should see some impact of that. I think it just creates more legs for the business, right, long term. 
Andrew Jeffrey: Yeah. I agree. And then just a quick follow-up for Peter, if I may. Could you sort of parse out domestic vehicle payment, organic revenue growth versus Brazil? I assume that US and Europe look pretty similar. Just try to get a sense of what positive same-store sales might mean for that business.
Peter Walker: Yeah. So UFCP business, you know, approximately 5% organic growth for the quarter. And, Europe and the rest of the world and Brazil, you know, tracked right on where they were for earlier in the year, so consistent results across all three for the 10% overall organic growth rate for vehicle payments.
Andrew Jeffrey: Okay. Thank you.
Operator: Thank you. We'll now move on to Darrin Peller with Wolfe Research. Your line is now open.
Darrin Peller: Hey, guys. Thanks. Nice job. I just wanted to start off with one more of a strategic question and then a sustainability question on the growth rate on vehicles. Then I'll have a follow-up on the modeling side. But just when I look at the double-digit growth rate, obviously, good to see it holding up in these ranges even against what you're getting into harder comps towards the end of '24. So maybe just touch on sustainability, especially of The U.S. Fleet acceleration and what's needed to maybe push same-store sales meaningfully higher. Your view?
Ronald F. Clarke: Hey, Darrin. It's Ron. It's sales is the answer. Right? So just to follow-up on Peter's thing, if you think of the three horsemen that create 10% as kind of low single digit. Like, right on ten. High double digit, average those things, you get to ten. And so the good news, if there is any, is this work we've done on The US visa vehicle has finally landed. Right? We've got stable retention that's now kind of in line with the rest of the businesses. I'm literally looking at a piece of paper and the same-store sales of The US business vehicle business went positive for the first time in six quarters. I'm looking at the piece of paper now. Approval rates are up. Credit is so so literally, the business has gotten to a good kinda reset spot. And now, like I said, the entire assignment sales. So if we could make a lot more sales there, we could, you know, inch the aggregated vehicle, you know, growth rate up. And if not, we'll stay with kind of low, mid, high. For that mix. The real question for me is, do we keep allocating what level of investment for growth do we keep making in that business? These are the other ones. This is one of the internal questions.
Darrin Peller: Right. Alright. That's good to hear. Thanks. I guess just one follow-up would be on more of a modeling couple of questions, which is number one would be just if you could provide a little more color on the cadence of the accretion contribution given that's a pretty notable, a fair amount of the versus some of the Street numbers was the magnitude of accretion. Just so it's ramping through the year, help us understand that. And then I know getting some questions on interest expense. I think you're assuming a lower interest expense rate dollar amount. Just help us understand that notion just given you're adding debt at a pretty healthy rate as well. Thanks again, guys. Good job.
Ronald F. Clarke: Well, Darrin, it's Ron. Let me take the first part, and Peter can take the second. So you know, we're kind of done with the plan. So when we talked, I guess, ninety days ago and we're literally just onboarding, out, but we finished the work. And so in the opening comments, I gave the dollar. So between those two deals, the NAV and investment, the Alpha acquisition, we're pretty comfortable we can get the dollar. And so we're literally already underway on a bunch of the things. Certainly on the cost takeout side on some of the revenue synergies that are super easy, like, coming across to our contracts and things. And so the biggest thing that'll unlock a bunch in the second half is the IT. We're gonna sunset their, you know, kind of their core corporate IT system in favor of ours, which opens up all kinds of savings around not only IT, but compliance and stuff like that. So I would say, you know, this is our third, fourth, fifth rodeo, right, of doing these things. So our confidence in what to do and what number is high. Then the last point I'll make, because you're good at math, is it's not one and done. It's one and more. So the way we think about it is whatever EBITDA we're getting in those businesses has to grow over. Right? The interest expense to finance those. So as we create the synergies, and those businesses grow, they're growing obviously over a fixed interest expense. And so, you know, in our multiyear plan, that creates even acceleration in EPS as you walk into next year. So the setup for those two things is quite good.
Peter Walker: So, Darrin, picking up on your question on interest expense. So we ended the year about $7.7 billion in debt. As you know, we produced really high cash flows, so call it $1.8 billion of cash flows we produced throughout the year. So debt will produce throughout the year. Also, the forward curve is looking pretty positive for us on SOFR. So you put those two together, and that's what's leading to lower interest expense.
Darrin Peller: Okay. Very helpful. Thanks, Peter. Thanks for
Operator: Thank you. We'll now move on to Tien-Tsin Huang with JPMorgan. Please go ahead.
Tien-Tsin Huang: Thank you so much, Haifman, Peter, and Jim. Great results. I wanted to ask on corporate payments if that's okay. Just mid-teens growth expected this year. Do you have the backlog to support this growth, or is there more business to go get? I'm just curious what the visibility looks like there. Could there be some room for upside? And if so, where?
Ronald F. Clarke: Hey, Tien-Tsin. Thanks for the data boys. So I'd say on the 26 number, it's really two different things. In the payables, the full payables business, I'd say, we have the sales. Because the implementation cycle is longer there. And so, basically, we have a bunch of deals that we implement that drive that revenue. In the cross-border, it's a much shorter, right, sales to implementation cycle. So we have to make sales there. Although if there was one that took place on our company, I would not bet against the cross-border sales. We had a just rocking finish between you know, our core cross-border business and even the new Alpha business and stuff. And so that thing is firing. So I would say our confidence in the thing is super high. And, again, the reason for the thing not being a bit more robust is just the compression, obviously, of the float rates. Right, particularly as you as we absorb Alpha. Has a way bigger bank account deposit-based business than we do. It's a bit more acute. Right, the compression there, particularly early on. So know, when we get it's transitory, obviously. So we get to the other side of that. I think the outlook would be will be even better for business.
Tien-Tsin Huang: Yeah. And if we get the monetization today, right, that Andrew asked if we get that cranking, that would be another upside, basically, to the business. Got it. No. You sound quite pleased with Alpha. That's great to hear. So mid-teens would be a win. For that segment. I did want to ask just on margins, if that's okay, as my follow-up with the expense rationalization. Is there a way to think about that impacted to '26 and just some broader comments on incremental margins in '26 any surprises or puts and takes to consider?
Peter Walker: Yeah. Maybe I'll start. Finjan went Peter pick up. So we're targeting above $75 million of expense out. We've executed kind of $50 million of it. We're still working on the other $25 million, which we've identified, but still working. If you looked at our internal plan, not shockingly, margins climbed like crazy sequentially. Pretty fixed cost base once we make the sales investment, which we do early. And then revenue snowballs. Right? So revenue increases, call it, $100 million plus as you get into the second half or quarters. And so that's I think it's probably three points if you look at it. 300 basis points from Q1 to Q4. The reason that the overall margins for the full year wouldn't look a ton different is really it's the acquisition. Acquisition. Expense. Right? We're bringing across in these couple of deals, you know, a fair amount of cost, you know, at lower margins, basically. And then second, we paid the call given the profitability to put more in the sales and marketing and even into our brand. So we're trying to hold the margins, you know, pretty constant, improve them sequentially, and spend on some things that will help the growth going into next year.
Tien-Tsin Huang: Perfect. It's great. Well done. Thank you.
Operator: Thank you. Our next question comes from Mihir Bhatia with Bank of America. Your line is now open.
Mihir Bhatia: Hi. Good afternoon. Thank you for taking my question. Nice results here. But Ron, maybe just have one to ask you about pay by phone. I think you bought that asset maybe a couple of years ago. Just any lessons from that process from owning that just what worked, what didn't as you think about go forward?
Ronald F. Clarke: Yeah. Hey. That's a good question. So lessons, I'd say maybe two lessons on that. One is, you know, we had a thesis for buying that their five, six, 7 million active users and a lot of them in Europe could be kind of a launching pad for us to put those people into the network. And basically, we grew we couldn't do very well at that. So a new idea and it didn't work as great as it has in Brazil. But the second learning is we're good. Like, we take a business. We buy it. We triple the profits. We're selling it for 50% more than we bought it for. And so it's a great reminder that even when the thesis isn't perfect, that we can still make a return on the thing. And so we're pleased. I'm also pleased with the people that you know, that are running a thing, that built it, that where they where they'll go, they'll be happy and stuff. So I'm hoping for only good things for the buyer and the management team.
Mihir Bhatia: Got it. No. And I think, you know, kudos to y'all for trying and pulling the plug when you all realize it wouldn't work. Wanted to maybe switch gears a little bit to just going back to the corporate payments. Business and just some of the questions there. Maybe, like, I think you kind of answered a little bit, but just trying to understand you know, you laid out a lot of priorities in that business, right, whether it's building The UK payables, adding enterprise accounts. New monetization options, growing sales in the FI channel, multi So just trying to understand the timelines there, like the lift that it'll take to implement some of those changes Like, what's gonna be a meaningful contributor there in 2026 versus initiatives that are maybe longer term, but just you're laying the building blocks today?
Ronald F. Clarke: Yeah. That is a really good question. I think the main thing we're trying to do with that priority is just make sure people are clear on the opportunities. That when you stare at payables, you know, beyond just chopping the wood we have that there's some kind of factors you know, out from the middle market core there where hey. We can get more monetization against the spend. We can add enterprise, right, to the mix. We can go to geographies that widen the TAM. I'm also trying to make sure people are clear. That there's wave vectors to make the business go. I'd say on that one, it's clearly the monetization is the short term, is the 2026. Thing because we have the clients. We have the merchants. We have the money moving. And so we're simply trying to get more choice and stuff. So I'd say for sure, in that one. And then the same kind of on, I think, on the cross. Border side. I think longer term, because the sales cycle will be like the Mastercard you know, opportunity there or even, frankly, the international bank account opportunity. I think those are longer term, whereas the synergies of combining the Alpha corporate business would be a 2026. So I'd say those are the two get the money in 2026 things, monetization and payable, and alpha consolidation and synergies would be the things for this year.
Mihir Bhatia: Got it. Thank you for taking my questions. Nice results.
Operator: Thank you. Our next question comes from Sanjay Sakhrani with KBW. Your line is now open.
Sanjay Sakhrani: Thank you. Ron, you talked about a couple of more divestitures in the pipeline and this one that you did today or announced today. Could you just give us a sense of what kind of liquidity you're looking at in terms of raising from that? I know you put out that $1.5 billion number last quarter, but if we just think about today's announcement plus the other two, does that get you to a higher number or equal number? Just trying to think through, you know, the liquidity you could raise and use of proceeds.
Ronald F. Clarke: Yes. Think it's a good question, Sanjay. So, yeah, there's two other vehicle businesses that are out in process now, pretty late stage too. If we end up transacting on both of those, it'll be over $1 billion. Think of, call it, a know, $1 billion or $1.3 billion, somewhere in there. And the use of proceeds is to buy C Pay. At this price that we're at. So we'll have an answer. My guess is the next probably thirty days on those things.
Sanjay Sakhrani: Got it. And then just maybe if you could elaborate on lodging. I know it remained weak, you guys are assuming the low single digits, but any anything specific happening there in terms of turning that ship around and how we should think on a go forward basis? Thanks.
Ronald F. Clarke: Yeah. The prints, obviously, Sanjay, not too good. I feel a little bit similar for The US vehicle business. You know, I think I characterize those two businesses as problem children, you know, not behaving well a couple of years ago at lots of things wrong. I feel kind of the same that both businesses, particularly lodging, have stabilized. We fixed the IT. We fixed the product thing. We fixed the customers that kinda scooted away, the volume that scooted away. So if you look at, like, the same store as I quoted, you know, that's actually positive now with US vehicle and I think mostly flat and lodging. And so the good news is the management teams have made progress doing things that have stabilized the revenue. I'm still super disappointed in the new sales. And so that's the ticket. Really, the ticket for both of them is can they produce new sales now that the losses you know, have stabilized? They're both super great margin businesses. They're both above the line average in front of me, but they're in the sixties. In terms of EBITDA margin. So they're super great cash generators. The question is just can we productively make sales there vis a vis the other options we have for investing sales of the company. So we're giving it a run here in 2026. And if we see sales improvement and accelerate throughout the year, we'll be happy. And if we don't, we'll be probably thinking about doing something else.
Sanjay Sakhrani: K. Great. Thank you.
Operator: Yes. Thank you. We'll go next to Nate Svensson with Deutsche Bank. Please go ahead.
Nate Svensson: Hey, guys. Thanks for the question. I want to follow-up on some of the cross-border priorities that were talking about in the prepared remarks, Ron. So you mentioned outperformance at Alpha a few times, and you obviously bumped up the alpha plus avid accretion to $1. Just maybe hoping for a little more color on what's going better than expected at alpha. What on the revenue synergy are you realizing? Is it better organic growth? Anything beyond that? And then you also called out the first joint sale with Mastercard. Fully get from your earlier answer. That's kind of a longer-term opportunity. We'd just love to hear more about that first wins on any specific details or learnings from that partnership as you look to go out and win more sales? In the pipeline that you do have.
Ronald F. Clarke: Yeah, Nate. Two good questions there. I think the overperformance in alpha is the integration, the people thing has gone better than I thought. So when you meet a new group like that and bring the organizations together, sometimes there's a pause. People aren't firing and stuff. But I just feel like our management team and their team did a great job, a great kumbaya or whatever, where their guys just came, you know, roaring out of the blocks. You know, pitching, hey. We're a bigger, meaner company. We have better credit. We obviously have better products. We have better payment products. Versus just risk management products. And so to me, what was so great is the people, particularly the salespeople, have embraced some of the stuff that we bring to them and just went running out. And got a bunch of business closed. So that thing not only performed better than the finish. Yeah. I've looked at January, and those businesses are ahead again. This month. So I think it's cultural. It's something. But just everybody's at it. People aren't moving around and stuff. They're excited to be part of the game with us and stuff. So this is way before the other synergies of contract advantages, rate advantages, cost, IT. We got all the stuff in front of us. Bank account license. We nine other things that are gonna create money. But to me, that's super important. On the Mastercard thing, I gotta say, it is way exceeded mine, I know if it has the Mastercard folks. Expectations, but we now have a second sale. I think I said one, so that script's old already. We've actually closed out two deals. But more importantly, it's a crazy pipeline. Particularly in Europe, where, you know, Mastercard has done their part of getting some dedicated people to call on accounts that they know and love, and our guys go in to know a lot and literally I don't know if it's 50 to 70 in process opportunities. And so that thing which tends to have a very long sales cycle, stood up quite well. And I think back to the thesis question that was before us, I think the thesis is proving out the good relationships and credibility that Mastercard has coupled with our products and expertise is a good combo. So it'll take time to build, but it is a way help to make that segment meaningful. Right, for cross-border. I mean, I don't know if everyone's getting it, but that business was mostly a one-trick pony. We went out to midsize businesses around the world and sold services, and now we're talking about basically getting banks, getting FIs around the to use our services and becoming, you know, an international bank account deposit company as well. And so the extensions of those two additional kind of product and market segments is way significant. I don't know if people are picking it up, but it completely changes, I think, the long-term prospects for that business. So we spent a lot of time in this company doing iceberg work, kind of getting ready, getting things positioned. I think people discount it because everyone just wants to know what the numbers are. But I'm telling you that is gonna make a big difference for durability.
Nate Svensson: Super, super exciting stuff. I guess for the follow-up, also on the cross-border business, we get some questions from time to time on a potential Supreme Court ruling on IEPA and maybe some impact that could have to CFAI even the tariffs are rolled back. So I'm not asking you to speculate on any potential outcome. But I guess in the event that there is some level of rollback of tariffs, any idea on how that could play out across either your corporate payments business or maybe the vehicle payments business as well? Is there still any pent-up demand you think might be released? Could this alleviate some of the pressure on the shipping and freight industry in The US or any other factors to keep in mind there?
Ronald F. Clarke: Yeah. That's a super good follow-up. I would say care of certainty is our friend. Like, whatever it is, just be what it is. So it had a super jolt during Trump's liberation thing. I think our numbers in April were crazy as people try to anticipate things and then kind of our US, our North America business did really bad. The rest of the year because of the uncertainty and the other geographies picked it up. So anything that would either roll back limit or even just fix tariffs would be a plus to the cross-border business. Remember, like half you know, the dollars that they were service-based, not goods-based. And then, again, we have con you know, we do risk management contracts and stuff. So the exposure isn't across that entire business. And, really, most of the exposure is in North America, which probably, you know, a third of the business. So it's not like a massive amount, but it still would be, to your point, a plus for us if that thing got clarified.
Nate Svensson: Super helpful. Thanks, Ron.
Operator: Thank you. We'll go next to Ramsey El-Assal with Cantor Fitzgerald. Your line is now open.
Ramsey El-Assal: Hi. Thank you so much for taking my call tonight. Wanted to ask about the strong sales growth, which is obviously super impressive. Can you give us your thoughts on whether the conversion of that sales to revenue, the timing of that conversion of bookings to revenue has changed as your business has changed? In other words, is now you have more corporate payments. Are you seeing a situation where you convert that revenue faster or convert those bookings rather faster or slower to revenue, or is it sort of the same as it was when you were primarily a, you know, fleet card business years and years ago?
Ronald F. Clarke: Well, hey, Ramsey. Welcome to your new spot. Wanna say thank you. Congrats to you, on that and appreciate you continuing to keep an eye on us. So it's a really good question. So at the high level, the answer is it varies by business. As I mentioned, I think Tien-Tsin asked you know, our payables business has a slower contract signings or bookings to implementation and ramping. And I mentioned the cross-border business is much faster. So if you run through the businesses we have, that vary. Summer, you know, super fast, like in the fleet card business, it's almost systematic. We don't even book until we start. We actually call it a go-live. But the total is for the company, it's about one-third. In year. So for example, let's let me make up a number. Let's say we recorded $300 million in bookings in calendar year 2025. We would print about $100 million of print revenue inside of the 2025 goalposts. And then we would ramp some amount of that $200 million that we didn't capture into the forward year. So the way we think about building our revenue plans is we already have, in that example, $200 million coming our way here in 2026 that we didn't have. Right, hit our revenue numbers last year. And we'll grab a third of what our bookings plan is here in 2026. So that's kind of the model, kind of one-third in the current year, and then the two-thirds ramp depending on what the attrition is. So we've really did the statistics in all of this. So it's really easy for us to model it.
Ramsey El-Assal: Got it. Yeah. That's super helpful. Thank you for that. And one follow-up for me. Stablecoins are a big thematic topic. Can you just give us an update on what you're seeing in the marketplace in terms of demand, if any? Also, just give us a quick overview of the capabilities that you guys are building out to accommodate stablecoins?
Ronald F. Clarke: Yeah. That's a super I'm laughing a bit, Ramsey. Do you this morning when I get up, going, we had this earnings call tonight. I went out three of our guys. I went to the guy that has, you know, thousands and thousands of US merchants that we pay across border head that obviously moves tons of money to beneficiaries around the world. And our alpha guy who does the, you know, bank accounts, the 7,000 bank accounts, you know, that hold deposits. And I asked all three of them, hey. Talk to me about the demand. How many of the merchants or the deposit holders or beneficiaries are asking for a companion stablecoin wallet so that they can receive funds in stablecoin. And the basic answer was crickets. There's been really no, you know, basically, kind of no noise kind of no demand. Despite that, we are I think we said before, doing three things anyway. One is trying to serve crypto clients that actually have crypto, have Bitcoin, have stablecoins as clients. So we're doing that. We have four or five signed up. Two is we are working on the rails and piloting that, like, in our own treasury for example, to make sure we can actually move funds, you know, via, you know, blockchain. And then third, which is my favorite, is despite the demand comment, we are building stablecoin digital wallets so that anyone that has a bank account, if you will, they'll have a companion stablecoin account. So if someone wants to send them money outside of the banking hours, it could be captured, and then we could toggle it, you know, into the fiat account that we have from. So we are pushing ahead to have that and just see if there's more uptake on this. But it's what's the line? It's all quiet on the western front. At Agatha.
Ramsey El-Assal: Fantastic, Ron. Thanks for your response there.
Operator: Thank you. Our next question comes from Rayna Kumar with Oppenheimer. Your line is now open.
Rayna Kumar: Good evening. Thanks for taking my question. Could you talk about just some of the drivers that'll get lodging back up to low single-digit growth this year? And separately, could you talk about your outlook for EBITDA margin this year and any puts and takes we should be aware of? Thank you.
Peter Walker: Yeah. Hey. Hi, Rayna. It's Peter. So on the lodging side, the thought process is full year, we're expecting, you know, call it, low single digits there, but it's really a tale of two stories. So the first half of the year will continue to be negative organic growth. With a pickup in the back half of the year. And so I think the good news to share there is we have had quite a bit of luck on the sales side. And so those implementations are coming online in the back half of the year. So that kind of what gets you to the full year outlook on lodging. Then if we look at EBITDA margins, they are increasing substantially quarter over quarter 2026. Even margins will be slightly down year over year, mostly driven by the acquisitions. But as we start to implement the as the business volume grows and we implement the synergies, that's where you see the margins start to expand.
Rayna Kumar: Thank you.
Operator: Thank you. Our next question comes from Trevor Williams with Jefferies. Your line is now open.
Trevor Williams: Great. Thanks very much. Peter, I want to go back to the organic guide. So the 9% growth in Q1 relative to the 11% in Q4 and the 10% you're assuming for the full year. It sounds like that's mostly just due to a bigger float headwind. For corporate payments in the first half and then the lodging improvement that you just walked through. But any other puts and takes cadence-wise for us to be mindful of? And then specific to the first quarter, just what you're baking in for Corporate Payments growth, both with and without float would be helpful? Thanks.
Peter Walker: Yeah. So, Trevor, I do think you have it right when we look at Q1 twenty-six. It is the float headwinds mostly, really, as we pick up the alpha business. Right? You see a pretty sharp drop in the rate for the pound. And the rate for the euro. So it's a big driver there. Whereas the drop in SOFR is more kind of even throughout the year. And then you're exactly right on launching being a drag on the organic growth for Q1 at the 9%, but then we see ourselves returning to 10% for Q2 and the rest of the year. In terms of the guidance for corporate payments, you know, I'd say the guidance for the quarter is similar to what I shared for the year. We expect it to be mid-teens with, you know, flow drag against
Ronald F. Clarke: Yeah. Hey, Trevor. It's Ron. I just just to add to what Peter said. So when we look at out at the curve, in our weighted average of what we earn, the Q1 versus Q1 last year is just the compression is just way more acute in this quarter we're sitting in. It's about 70 or 75 basis points. When we run it out to the end of the year, that thing shrinks to, like, 25 to 30 basis points. And so that's enough given we have alpha in the mix now for us to run the quarter at nine instead of 10. The other one just, by the way, which is a tad is really gift. We have a, you know, that thing has been running super hot with this secure packaging thing. I have it in front of me, but mid to high teens the last three or four quarters, that's coming back to Earth. Positive, but back to Earth here in Q1. So those two things together is what would have us, run-in the quarter at nine.
Trevor Williams: Okay. No. That's helpful and good color on Gift. And then just as a follow-up on Brazil, with how much you guys are outpacing the underlying tag growth that's all coming from the contribution from extended network? Ron, how you think about the sustainability of that? And if you're able to keep that, if we think, like, high teens to 20% growth in Brazil, if you can keep that without layering in more acquisitions, like, Gringo, ZapPay. I know there was the other vehicle debts company that you bought last year. Just how to think about the durability of that growth? Thanks.
Ronald F. Clarke: Great question. Yes, we're planning, Trevor, another crazy high teens year. As you know, half of it, you get because it had a crazy good year last year. Right? So that just rolls in. But look. The story of Brazil is the free banks didn't beat us. We said we were gonna create a bunch of non-toll revenue. We've got millions and millions of customers and business as well. So we're like, okay. If we give them some of these other vehicle things, will they come? And I wanna be super clear. Yes. They will. They buy fuel. They buy parking. They buy insurance. They buy vehicle debts. They're now going crazy with 10% of our new sales. We're selling the Sempra credit card. The Sempra credit card now for 10% of her new sales. And so to say it's working, I think, is an understatement. The second thing I say is I think it's helping sell the core toll because it's so differentiated now from a guy, a bank, who's buying some crappy toll thing wholesale one product. And offering it. So not only is it creating incremental revenue with profit leverage because it's added on, I think it's allowing us to keep selling mid- to high single-digit tag growth as well. So it is good, and I do feel like the banks there are getting weary. From some market feedback. So that could be the next domino to fall there as people think they could beat us by being free, and they haven't. And so that would be the next thing I keep an eye on.
Trevor Williams: Okay. You, Ron.
Operator: Thank you. Our next question comes from Michael Infante with Morgan Stanley. Your line is now open.
Michael Infante: Yeah. Hey, guys. Thanks for squeezing me in here. I'll just ask Juan for the sake of time. Commentary on stablecoin demand was helpful, but I'd be curious just to get your high-level perspective on really the mechanism by which we'll actually start to see some medium-term compression of Stablecoin off-ramp costs in the future if those costs themselves are effectively just dictated by liquidity in those corridors. And if the answer is we're not likely to see that cost compression, like, how should we be thinking about the incremental tailwind for if you do actually start to see that demand from your customers show up. Thanks, guys.
Ronald F. Clarke: Yeah. Hey, Michael. It's Ron. I mean, I'd say, well, I guess your guess is as good as ours because we see nothing, right, at this point. And I think we reiterated that the rails are an insignificant piece of the cost structure and of the value chain. And so look, who knows? I mean, people can price things crazy. Right? For whatever reason they have. But, like, we don't see it to your point. We see nothing, and we don't think it's likely if we're getting 50 or 60 basis points on a trade. And sometimes 100 depending on the customer in the quarter. It's mostly because of the liquidity and the compliance and everything else. And so we're staying in tune. We're watching it carefully and stuff, but we do not see that as a high risk. And then as I said, whether there is demand or not, we're gonna be there with the stablecoin offerings. And so if our clients want it, we're gonna make it available. But it reminds me a little bit of EV, this whole thing. You know, there's more being written and said about this than actually being used today. Is my takeaway.
Michael Infante: It's helpful. Thanks, Ron.
Operator: Thank you. We'll go next to David Koning with Baird. Your line is now open.
David Koning: Yes. Hey, guys. Thanks so much. Just one question. Minority interest, that line has become a lot more important now with Avid, and a little bit of the Mastercard impact. It looks like on an adjusted basis, it was, like, $27 million in the quarter when you do the add back that was in your line. Is that I guess, why was that so high? That seems very high. And is that the right number on a quarterly basis going forward, or what should we think about that line?
Peter Walker: So there maybe let's take that question with you offline. In a modeling conversation just so we can go through it more detail.
David Koning: Okay. Great. Thanks.
Operator: And our last question comes from Madison Sewer with Raymond James. Your line is now open.
Madison Sewer: Hey, guys. Thanks for sneaking me in, and I'll just ask one as well here. Just circling back to the Mastercard partnership, early indications sound pretty positive there. So is the 200 to 300 basis point tailwind to cross-border still kind of the right way to think about the contribution from that partnership? Or do you think there could be potential upside given some of the early indications? Thanks, guys.
Ronald F. Clarke: Yeah. That's another good question. I'd say it's a timing call, right, because the sales cycle on FI is longer than it is for corporates. But to your point, given the size of the pipeline and the fact that some of the things were actually, you know, converting, it's a whopper segment. I do want to remind you and others that virtually all of the cross-border business that we don't have, they have. So, like, all of it, right, is there. And so to the extent that we're successful, getting this thing going and happening with Mastercard, all I can say is, like, it is just so crazy large the flows that these banks have today that if we get in with a number of them, it, you know, over some cycle, it could be a big, big contribution. Just because they have all the business today. Right? The independents like us have such a fraction of the book today. So it's super exciting. Again, it's to me, it's just a question of what the time frame is.
Madison Sewer: Thank you.
Operator: At this time, there are no further questions in queue. I will now turn the meeting back to our presenters for any additional or closing remarks.
Jim Eglseder: Great. Thanks, everybody, for your interest. If you need anything else, you know where to find me. Have a good evening.
Operator: Thank you. This brings us to the end of today's meeting. We appreciate your time and participation. You may now disconnect.